Operator: Ladies and gentlemen, thank you for standing by, and welcome to Nevro's Third Quarter 2020 Financial Results Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Matt Basco [ph] from Gilmartin Group for introductory remarks. Please go ahead, sir.
Unidentified Company Representative: Good afternoon and welcome to Nevro's third quarter 2020 earnings conference call. With me today are Keith Grossman, Chairman, CEO and President and Rod MacLeod, Chief Financial Officer. The format of our call today will be a discussion of third quarter trends and business results from Keith followed by detailed financials from Rod and then we'll open up for questions. Earlier today, Nevro released its financial results for the third quarter, which ended September 30, 2020. A copy of our earnings release is available on our investor relations website. This call is being broadcast live over the Internet to all interested parties on November 5, 2020 and an archived copy of this webcast will be available on our investor relations website. Before we begin, I'd like to remind everyone that comments made on today's call may include forward-looking statements within the meaning of federal securities laws. Our results, may -- our results could differ materially from those expressed or implied as a result of certain risks and uncertainties. Please refer to our SEC filings, including our Form 10-Q to be filed later today for a detailed presentation of risks. In addition, we will refer to adjusted EBITDA, which is a non-GAAP measure that is used to help investors understand Nevro's ongoing business performance. Please refer to the GAAP to non-GAAP reconciliation tables within our earnings release. And now, I'll turn the call over to Keith.
Keith Grossman: Thanks, Matt. Good afternoon everyone, thank you for joining us today. Today we reported third quarter 2020 worldwide revenue of $108.5 million, representing growth of 8% compared to the third quarter of 2019, as well as a sharp sequential recovery of 92% growth over the second quarter of 2020. US sales grew 8% over prior year to $90.1 million in the third quarter representing sequential growth of 78% over prior quarter and driven by an increase in patient and customer activity compared to the severely COVID impacted second quarter of 2020. In the third quarter, total US permanent implant procedures increased 9% while new patient trial procedures were down only 5% compared to the prior year period. Reported US revenue also excludes $0.7 million of product shipments, due to a customer bankruptcy during the period. Daily patient trial activity increased 50% over the second quarter of 2020 and it has improved sequentially every single month from July to October. We're pleased with the dramatic pace of recovery in the US and third quarter trial activity which was approaching though still just shy of prior year levels as we entered the fourth quarter of 2020. International revenue decreased 10% year-over-year as reported or 5% on a constant currency basis to $17.5 million in the third quarter representing sequential growth of 226% over the prior quarter. The increase in international revenue was primarily due to a successful Omnia launch and an increase in patient and customer activity compared to the prior quarter of 2020 along with the rebound in customer inventory levels. Remember that SCS procedures are performed on an outpatient basis with relatively little OR time required and no inpatients or ICU resources that are typically consumed. We've seen our customers return to performing procedures as quickly as patient willingness and facility safety requirements have allowed. While we expected to see a shift from hospitals to ASCs during the pandemic, our third quarter side of care mix returned to first quarter of 2020 levels. Though we still believe that the gradual shift towards performing SCS procedures in ASCs will continue to grow over time as a percentage of total procedures. Case cancellation rates peaked in April with the shutdown of elective procedures and those cancellations have since sequentially declined month over month all the way through October, we saw a few cancellations resulting specifically from COVID in the third quarter. In the case of trials. While we've largely recovered we're still trending just below prior year levels due, we believe, primarily to a reluctance on the part of new patients to seek care during the pandemic. As we sit here today at the beginning of November, a majority of the canceled permanent implant cases from Q2 that have been willing to reschedule have been completed, which leads us to believe that directionally the revenue recovery curve appears to be playing out as we discussed with you last quarter. With trials slowly recovering and some backlog cases still expected to be recaptured this quarter, we feel our earlier expectations for revenues are roughly flat with prior year were still reasonable. However, we're also continuing to monitor areas where COVID cases have recently started to rise as I'm sure you are. Thus far we've seen only a small impact to elective procedures through October in the US and Europe. However, increases in activity around the world will continue to exert pressure on patient willingness to seek care of all kinds. And potentially even impact facility capacity in some areas, which could provide some downward pressure to our view for Q4. While the environment continues to be a difficult one, we feel strongly that we're faring better than our SCS competitors and in fact many of our med-tech peers. Within the SCS market, we believe the launch of Omnia has provided an advantage to Nevro leading to additional market share gains. Even through the pandemic physician enthusiasm around Omnia and its versatile platform capable of offering HF10 and lower frequencies in addition to pairing of frequencies has led to a more rapid adoption among our customers than we initially anticipated. We believe these favorable trends confirm that the Omnia platform provides us a compelling reason to once again engage with every doctor practicing in the SCS space and we view most pain doctors and neurosurgeons in the field as potential customers. We also believe our commercial team is executing at a higher level which is strengthening customer relationships during this difficult time. Our dedication of patient support and long-term outcomes is fundamental to our company and it's an area in which we continue to invest. During the third quarter we expanded our digital physician education programs and remote patient support programs to an enthusiastic response from our customers. In addition, we launched Omnia in both Europe and Australia in the second quarter and continue to ramp up efforts in those markets. Our supply chain has remained healthy and our balance sheet provides us great resilience with roughly $573 million in cash and investments at the end of September, actually up from the end of the quarter before it. One of the areas, I'm proud of is our ability to manage expenses and drive operating leverage without eroding our team or our core capabilities to drive growth. As a result, I believe we continue to be in a strong position to execute on our long-term strategy and Rod is going to talk more in a few minutes about our results in the expense area. We continue to invest in R&D to evolve our product capabilities and we're going to have some really interesting things to talk to you about in 2021. We're also working hard to expand our total addressable markets with new clinical data and new patient indications. Our PDN study continues to move forward and we've had a very high percentage of study subjects in the control arm crossover to the SCS treatment arm at six months as permitted by the trial protocol. We believe that's a strong indication that our therapy addresses a critical and unmet need in this patient population. We still plan to present the next round of complete six months data along with a preview of the 12 month responder rate data from this trial at NANS in January of 2021. We've been in pre-submission discussions with the FDA regarding our data and our submission strategy and I'm pleased to say that we're now planning to submit our PMA supplement to the FDA in the current quarter, which keeps us on track for a mid-year 2021 approval and a second-half commercial launch. In next quarter's call, we'll begin to talk a bit more about our market launch plans and expectations for this really exciting opportunity. On our nonsurgical refractory back pain study, we continue to expect to present our three month primary endpoint data at NANS of 2021 in January with journal publications to follow. In total, we should have a very large presence of NANS as we usually do with quite a number of data presentations of this conference, most notably, of course the PDN and NSRBP studies. In August, CMS published their proposed rule for outpatient payments. Outpatient payment rates for both hospital and ASC facility fees were increased between 2% and 5%. We view that as a positive for the therapy. Also in this proposed rule, few months recommended a requirement for prior authorization of SCS procedures for Medicare fee-for-service patients in the hospital outpatient setting only that we set to begin in July of 2021 now. CMS is rationale for this proposed requirement was due to a perception on their part of over-utilization issues. We have very thoroughly reviewed the SCS utilization data and we've submitted our comments to CMS on their proposal. In those comments, we pointed out that any over utilization was driven in large measure by non-rechargeable primary cell products which require surgical replacement on a much more frequent basis than rechargeable devices like those from Nevro. The reduced product life of the non-rechargeable product creates a situation in which patients must undergo more unnecessary and costly procedures, resulting in greater expenses and increased surgical risks and replace their system much more frequently than rechargeable systems. Despite this reduced durability and lower resulting economic value, Medicare reimburses non-rechargeable systems at the very same amount as rechargeable devices. As a reminder rechargeable technology has demonstrated a much longer lifecycle of 7 to 10 years or even longer. This is two to four times the reported life of primary cell products. We strongly recommended that CMS were to proceed with the prior auth requirement that they should limit it to non-rechargeable products. However, if they do proceed with requiring a prior auth for the entire category, we'll be well equipped and prepared to manage that process. Remember that the vast majority of our business which consist of both private pay patients and our Medicare Advantage patients require prior authorization today. Lastly, we announced in mid-September our plan to establish manufacturing operations in Costa Rica. Currently, as you know we use contract manufacturing partners for our business. As part of our confidence in our growth plans moving forward we are establishing insource manufacturing for our pipeline of future products to ensure we have the most efficient cost structure and flexible capacity, while also maintaining the highest level of quality control as we scale. We entered into a 10-year lease for our manufacturing facility in Costa Rica with total capital expenditure is expected to be approximately $11 million between 2020 and 2023 with an additional $10 million above implementation cost over the same period of time. We expect the new manufacturing facility to be validated and approved for commercial production in 2022. Since the pandemic began our highest priorities as a company have been the health and safety of our customers, their patients and our employees, the support and coverage of our customers and their clinical case activity throughout the period, the integrity and readiness of our supply chain, the prudent stewardship of our balance sheet and the maintenance for improvement of our competitive position and our capabilities in order to exit this crisis the way we came in back in the first quarter which was with a ton of momentum. Thus far, I believe we've achieved these five goals and we'll continue to work hard in the coming weeks and months to further our progress. While we are certainly still in the midst of this pandemic and dealing with it's impacts upon our business, I remain very excited about the various growth drivers for this business. As we think about our ultimate emergence from the pandemic, the combination of a return to overall market growth continuing to grow Nevro's market share a measure of pent-up demand likely to exist at that time for SCS suitable patients and the impact of new product in indication launches like PDN it should be the beginning of a very attractive period for the company. Lastly, and as I have been from the beginning of all of this, I'm grateful to the entire Nevro team for their hard work and their dedication during a time of great and continued uncertainty. Thank you again for joining us today. And with that, I'll pass the call over to Rod.
Roderick MacLeod: Thanks, Keith. I'll begin with our worldwide revenue for the three months ended September 30, 2020 which is a $108.5 million, an increase of 8% compared to $100.2 million in the prior year period. Third quarter 2020. Revenue growth was primarily driven by an increase in patient and customer activity compared to the severely COVID impacted second quarter of 2020. US revenue was $90.9 million, an increase of 8% compared to $84.2 million in the prior year period. Reported US revenue also excluded $700,000 of product shipments, due to a customer bankruptcy during the period. Year-over-year US permanent implants increased 9% while trials were down approximately 5% during the third quarter of 2020. Although US trials declined in the third quarter, we remain encouraged by the rebound in our business and we continue to realize incremental improvements month over month inorganic daily trials from July to October. International revenue was $17.5 million, an increase of 10% on an as reported basis or 5% on a constant currency basis compared to $15.9 million in the prior year period. The increase in international revenue was driven by a successful Omnia launch and an increase in patient and customer activity compared to the prior quarter of 2020 along with a rebound in customer inventory levels. Gross profit for the third quarter of 2020 was $76.1 million, an increase of 9% compared to $69.9 million in the prior year period. Gross margin was 70.1% in the third quarter compared to 69.8% in the prior-year period, compared to the prior year period, the increase in gross margin in the third quarter of 2020 was primarily attributable to product mix. Operating expenses for the third quarter of 2020 was $79.6 million, a 7% decrease compared to $85.9 million in the prior year period. The year-over-year decrease in operating expenses was primarily related to these travel and training related expenses, decreases in discretionary expenses during the COVID-19 pandemic as well as continued management focus on driving leverage throughout the business, which began well before COVID. This was partially offset by a one-time charge of $2.5 million in the quarter related to our CFO transition. Legal expenses associated with patent litigation were $2.3 million for the third quarter of 2020 compared to $1.9 million in the prior year period. We expect that operating expenses will return to a run rate roughly similar to the first quarter of 2020 as revenue continues to recover. Net loss from operations for the third quarter of 2020 was $3.5 million, a 78% improvement compared to a loss of $16 million in the prior year period. Adjusted EBITDA for the third quarter of 2020 was $13.6 million compared to a loss of $2 million in the prior year period. Adjusted EBITDA excludes certain litigation expenses interest, taxes and non-cash items such as stock-based compensation and depreciation and amortization. Please see our financial tables for GAAP to non-GAAP reconciliations. During these uncertain times, we continue to focus on cash preservation while balancing the need to reinvest in the recovery process. Cash and cash equivalents and short-term investments totaled $572.9 million as of September 30, 2020. Net cash increase during the third quarter of 2020 by $10.5 million. That concludes our prepared remarks. I'll turn the call back over to Matt to moderate the Q&A session.
Unidentified Company Representative: All right, thank you. And can you please open the lineup for questions.
Operator: [Operator Instructions] Your first question comes from the line of Larry Biegelsen of Wells Fargo.
Lawrence Biegelsen: Good afternoon and thanks for taking the question, guys, and congrats on a nice quarter. Keith, one on the pipeline, one on the recovery and sorry to ask such a short-term where you good question on the recovery, but I just wanted understand your comments on the call on trials being down 5% in Q3, the press release talked about recovery or improvement through July through August. So my question is where trials up year-over-year in October and is that cancellation rate that you talked about improving through the quarter. Are you seeing that ticked up and I have one follow-up.
Keith Grossman: Okay. Yes, two different things. So from a cancellation of cases standpoint, I would say, that's been a very small factor, Larry, throughout Q3 and remains so frankly even in October. So that's good news and it's a little hard when cases get put on and take it off the surgical calendar all the times and sometimes it's hard to discern the nature of cancellation were more tuned into them now I think than we've ever been. But I think it's safe to say that COVID-related cancellations are sporadic and a fairly small element of our activity right now. From a trial standpoint, trials have gone up on a month-over-month basis for the last four months. Your question I think was, are they still below prior year trends in October. The answer to that is yes. So, we've been really happy with the rapid kind of V shaped recovery of patients willing to come in and seek treatment. And we think it's different from lots of other categories of patient frankly from other categories of pain patients, if you look at the doctor visit data to pain doctors. We seem to be doing better than that category in general, so we're pleased with the bounce back with the pace and where it's landed and the fact that it continues to grow. It is still slightly below prior year, and I think as we try to diagnose the reason for that, Larry, it comes pretty squarely down to patient reluctance. I think it's not where there is some reluctance, I think it's not while there is some friction in hospital and ASC capacity and new procedures, it's probably not that much relief for us, and there is doctor willingness to get volume back, so everything seems to be lined up in the right way. But there is still some residual reluctance on the part of patients to seek care and willingness on some -- on the part of some patients to defer care even in this category and we believe that will free up over time, but the triggers are probably a little bit different for every single patient, that might be employment, that might be the vaccine, might be their local infection rates, it might be their level of pain. We think it will improve, but it probably won't be back to normal, I don't think in this particular quarter it's close, but we don't think it would be back to prior year pre COVID levels.
Lawrence Biegelsen: That's helpful. Keith. And then on the pipeline, at a recent investor conference, you talked about new products in 2021, then I think you. In addition to PDN and Virgin back, I think you alluded to new product on this call. Could you, are you willing to kind of give us any color on what new products, you might be launching in 2021. Thanks for taking the questions.
Keith Grossman: Yes, no, I would like to keep that one wrapped up systems, we can unwrap that when we launch just for lots of reasons not the least of which is competitive reasons. We've been a pretty open book on new patient categories and indications and the trials and data sets that will get us there. As you know, we've been trying to keep things a little closer to the vest until we're ready on product introductions but hopefully in the first half of 2021 will certainly be able to talk more openly about some of those.
Lawrence Biegelsen: Thanks. Understand.
Operator: Your next question comes from the line of Robbie Marcus with JP Morgan.
Robert Marcus: Hey guys, this is actually Allen on for Robbie. [Indiscernible] got off. I had kind of question on RDN and you're kind of, you have a better visibility into that second half of '21 timeline, but should we really think about the pace of adoption in that market. I think you guys have talked about in the past out a little bit of a different kind of call point for you guys. So how should we really think about that business picking up in the back half of 2021 and then 2022 and beyond.
Keith Grossman: Okay. And you said -- I thought I heard you say RDN, did you mean PDN.
Robert Marcus: PDN, sorry, been a long day.
Keith Grossman: All right. So, we were trying to figure out what RDN was if we'd missed something here, so I missed part of the rest of your question. You're looking for any discussion of potential adoption rates after FDA approval.
Robert Marcus: Yes. Since, so just kind of a different call point for you guys.
Keith Grossman: Yes, I think we're probably not ready to provide forecasts or visibility or guidance of any kind on either adoption or investment for PDN. But I think we're close to being at that point. We're doing a lot of that, body of work is behind us but frankly a fair portion of it is still to be done over the course of the rest of this quarter. I think when we get to the first quarter call, we will almost certainly dedicate a fair portion of that call to talking about the size of the market, how we're thinking about market segmentation positioning launch strategies and even investment level. So give us another quarter on that one and we'll provide a bit more visibility.
Robert Marcus: Got it. And then I guess talking about Omnia and kind of the other new products that maybe some of your competitors are bringing out, it seems like clearly OUS that looks has been a very strong launch for you, even domestically, how should we think about physician willingness to really look at your products right now, aside of discussion they're willing to have and what are you seeing on the competitive front as well. Thank you, guys.
Keith Grossman: Yes, well, there's certainly a willingness to look at a new product like this with existing customers. That's clear. I mean if you look at Omnia currently represents between 70% and 75% of our utilization in the US market. In Australia, where you typically see once a product listed as a complete switch over, we have maybe as we expected, now see a virtual 100% utilization of Omnia in Australia and the European markets where we've just introduced are sort of somewhere in between but ramping quickly. So the acceptance of Omnia has been at least as good probably better than our internal expectations among our own customers. With regard to other customers, I think you fall back on sort of a market share look. We do think we have continued to take a bit of share each quarter even through COVID. It's really hard to quantify market share because we don't have a lot of transparency from our competitors given their ownership structure, we do some of our own work on market share, but it's a little opaque and it's difficult to make really granular sensitive, but I would say we do continue to gain share. And if you look at share over a longer period of time, say from 18 months ago today, I think it's pretty easy to discern an increase from what was probably in the mid-teens, low to mid-teens to today probably upper teens to even 20% or so share of the US market. So, I think it's been -- it's been a nice range of capture for us over the last, call it 18 months or so.
Operator: Your next question comes from the line of David Lewis with Morgan Stanley.
David Lewis: Hi, can you hear me okay?
Keith Grossman: Hi, yes. We got you, David.
David Lewis: Perfect, lucky me. Keith, thanks for take the questions here. I guess just two from me, Keith, first is I know it's obviously early but I sort of think about the structural growth rate and obviously in our recent conference you and I talked about broadly how investors can start to think about the forward year. I mean I think it's consensus numbers for '21, Keith, is kind of upper teens type of growth, '21 versus '19. Obviously that implies, sort of a business that's kind of growing 10% or two times the market rate over a two year period of time. How are you thinking about your ability to grow relative to market or any thoughts you will go next year and other revenue. And then kind of related to this kind of, Rod, just thinking of profitability, that was a pretty, very, very good number here. From a profit basis, I appreciate, OpEx will start to scale, but it does look you're making dramatic progress in OpEx here, in profitability towards the back half of this year and I'm sort of assuming that extend to the next year. So just any commentary you want to share on top and bottom for next year even at a high level.
Keith Grossman: Yes, so as you might expect there is not a lot I can give you on 2021. We don't, we don't have a guidance for fourth quarter, much less 2021. I do think we view this as sort of a pre and post-like probably most companies pre and post-COVID basis and I think our view of the business on a post-COVID, and we think by the way, the '21 will have some portion of both of those areas within it but yes, I think our view of Post-COVID portion of '21 is very bullish. We look at things that are lined up with Omnia and the trajectory we're on as a company, the execution of our sales organization, probably the impact from what will then be a fair amount of pent-up demand from patients whose pain doesn't resolve through some other way or and they don't have an alternative therapy. So we think the whole space will actually see a bit of a nice long wave behind it, when COVID resolves and if you layer on top of that the fact that we've been capturing share and we think we can continue to do that and that around the second half of next year, we're launching PDN. It does feel like the outlook for that portion of '21 is quite good. The real question is does that portion of '21 start on March 1 or September 1 and or is it kind of a slow and steady ramp up until somebody flips the switch of some sorts. So, I think that that's what everybody is grappling but I think between here and there, so the COVID portion of 2021 sort of feels to us like it will be a continuation of maybe what Q3 looked like with kind of slow and steady improvement and not a lot of impact from those kind of dramatic closures we saw back in March and April, trying to piece all those, all those together and come up with guidance is certainly a little bit difficult today hopefully we'll get a little bit more clarity by Q1, but we'll just have to see and maybe I'll let Rod take on the spending and operating income quarter.
Roderick MacLeod: Hi David, this Rod. Thanks for the question. From an operating expense standpoint, like a lot of other businesses, we're getting a little bit of a good guy in Q3 as expenses are reduced, travel, conferences, etcetera related to covered restriction. So we're getting a little bit of lift from that as you've been tracking as well. The management team has made a lot of decisions, a lot of which started before COVID in terms of driving business leverage at Nevro here. Driving efficiencies in the sales channel and patient support process have continued to drive leverage and we'll continue to focus on that as we go forward, as well as other parts of the business and we've also continued to focus on driving investment in resources around our key strategic initiatives, which is driving focus in the business as well. As we noted in Q3 we also add the $2.5 million of the CFO transition costs and our litigation was 2.3 million versus 1.9 in the prior year and, like Keith said, we're not providing guidance, but we are pleased with our adjusted EBITDA in Q3. As we go forward though we are going to have a bias towards growth and with some of the initiatives and opportunities that Keith mentioned, there will be opportunities for us to forward spend for instance in the PDN, in anticipation of the PDN launch where we could see a little bit of fluctuation on a quarter-over-quarter basis as it relates to some of that investment and as COVID restrictions begin to lift. So super-pleased with our third quarter results and we're continuing to drive leverage throughout the business as we move forward.
David Lewis: Hi. super helpful and Keith just one more quick future question for you on sort of product pipeline. So, number one, obviously Medtronic had sort of confirmed to be copying your clinical playbook, both in terms of PDN non-surgical as well as ULN. So, two questions, one you have kind of expressed obviously less relative interest in your line, just given the clinical data requirements in the bigger opportunity to have in front of you, is that sort of still your view relative to ULN just gave Medtronic interest in that particular category and then if you think about the future. Keith, I could tell us much about what these products are, but should we think of this more as labelled extension or think of it more as you fundamentally new therapeutic areas, stimulation patterns or things of that nature, sort of, is it more software label or is it more hardware. Thanks so much.
Keith Grossman: Yes, well, let me take the first with ULN, I think and the Medtronic or any other interest, I expect our competitors to have an interest in the segments that we've expressed interest in for all the same reasons. There are good and large opportunities to grow the business and help a lot of patients, so I'm sure that they have the same interest for the same reasons, assuming they couldn't get there with their technology and I think that's, I think that's a very large assumption in the case of PDN, they've got a long way to go and as they want to generate the kind of data that we believe both regulators and payers and clinicians in the diabetes world want to see. They're going to have to pursue some pathway that it doesn't represent a shortcut and so there is a significant head start here on the part of Nevro at the very least and all that based on the assumption that high frequency doesn't have some meaningful differential benefit in this category of patients something by the way that we believe and believe pretty strongly. Now, in terms of whether or not these indications are just claims or distinct markets and market launches, I really think in the case of PDN it fits very much the latter or maybe better put its both. It's both it certainly has to be a label claim addition and FDA approval. But it is a distinctly different market, different referral base, different patients, different type of pain, different competitive therapies and a different decision-making process in the payers and the will view it differently as well. So, I think we look at this has really launching into an entirely new market. The last part of you've got question was I think one of the implications for the product and could it be product differences over time as well. And it certainly could be if not initially over time. I think that's quite possible effect over time it might even be likely, but we are taking this internally as a significant new product / new market launch. David, does that help answer your question?
David Lewis: It does, very much, sir. Thank you so much for the detailed answer.
Keith Grossman: Okay. You bet.
Operator: Your next question comes from the line of Bob Hopkins with Bank of America.
Robert Hopkins: Thanks, and good afternoon.
Keith Grossman: Hi, Bob.
Robert Hopkins: So can you -- just wondering, if your -- how your thoughts may have evolved over the last couple of months on PDN and the timelines for when that could have a real commercial impact. I'm just curious if that's changed at all over the last couple of months as you guys are getting closer and closer to data and commercialization and kind of what I'm getting at is -- is it just going to be kind of a long slog in terms of developing the market or are there ways to accelerate the accretion of those pathways.
Keith Grossman: Well, let me answer that a couple of ways. I'll tell you that as time has come along here over the last quarter or two, we are smarter about this opportunity internally at least in two ways. One, we continue to see more data, some of that data will be seen by everyone in a couple of months and we continue to get more information and get more data about the market and expose a lot more endocrinologists and podiatrists and internal medicine folks and primary care physicians on the technology and talk to a lot more patients and do a lot more market research and we're doing really a tremendous amount of work internally and I would say that the sum total of the impact of all those things has been a growing level of excitement among our team and our Board about this opportunity. So, I would say we are, with each passing month, we get, the more psyched internally about the ability to enter this market and grow a meaningful and defensible business and help a lot of patients that couldn't otherwise be helped and started to talk to a whole different group of doctors. So that's one side of it. In terms of the impact on the business and ways to accelerate, certainly we're always looking at ways to accelerate the impact. If you think about maybe a mid-year approval, what do you do from that really you can't do a lot of market education until you have an FDA approval, of course, I mean those are the rules of the road and like everybody else we play by them. So most of our education effort will take place after an FDA approval. And we have some work to do with at least some payers out there as well. So those things take a little bit of time. On the other hand, there is going to be great exposure to not only six months but 12 month data by then, there will be data in the published literature by then, we will present a data at not only NANS but likely ADA by them and so there will have been a fair amount of exposure and there is a lot of pent-up demand among these patients. So, I do expect some short-term impact, but we have to get patients referred, getting trialed and then get them implanted and that referral comes from a referral base. So we'll do as much as we can to see that market and that initiative upfront, but much of it will start at launch. And so I think you'll see second half of '21, where there is almost certain to be some revenue impact, but it's likely to be mostly preparing for a broader revenue impact in 2022. So without putting numbers to it. I think directionally that's how you should be thinking about it now.
Robert Hopkins: That's great, thank you for that. And then one charge oriented question I just wanted to understand your thought process around the comments you made earlier in reiterated about the fourth quarter. I'm just curious if your commentary and Q4 assumes an increase in cancellation rates from here and just what you're seeing on that front run today. I just want to understand how you thought about those comments.
Keith Grossman: Yes, it really doesn't reflect. I mean know with October under our belt and a couple of days of November, it really doesn't reflect current cancellation rates. This is less about looking at our own patient records and more about reading the newspaper and just kind of seeing what's going on out there and hearing what hospitals in Europe might be talking about doing in November and December plans that they're making, rumors that are afoot in certain countries about maybe treating certain hospitals or certain types of procedures differently, nothing has actually happened at this point other than infection rates are beginning to spike around the world and we're anticipating what might happen in the second half of the quarter. So, Bob, it's based much more on that than it is. Hey something starting to happen in October. October actually felt pretty good. So and keep in mind, this is a fourth quarter where when we talk about being flat over prior year. We were getting up whole bunch of traction last year in fourth quarter that was, it was a very strong comparable for us. We had just launched Omnia and it was a good quarter for us. So, I think absent a kind of an erosion of patient demand here in November and December due to COVID, kind of a flat performance to prior year feels; A - very good and B - pretty likely, but we temper that with what's the likelihood that there won't be an incremental COVID impact in November and December based on what we're seeing in infection rates etcetera and it seems like there probably will be, we can't size it. We don't have guidance we can't give you a range. We just think it's likely to have some impact to that view.
Robert Hopkins: Got it. Thank you very much. Appreciate it.
Keith Grossman: Okay.
Operator: Your next question comes from the line of Danielle Antalffy with SVB Leerink.
Danielle Antalffy: Hi, good afternoon, everyone. Thank you so much. Hi, thanks for taking my question. Keith, I just wanted to ask you -- one of the competitors in your space has been talking about going on the offensive more generally speaking, and it has specifically talked about spinal cord stem and the recent DTM launch and we did see a data update there, I think it was the nine month data back in October. I was wondering if you could talk about that how you're viewing that potentially changing the landscape for you guys.
Keith Grossman: Yes, yes. Thanks, Danielle. I'd love to. Certainly that's something we've been following, that's Medtronic, you're talking about. They held a company-sponsored webinar to present 12-month results for their new approach of multiplexing or pairing two existing low frequency waveforms which is something they call DTM as you mentioned. I guess first of all it's important to remember that these data were simply released by the company. So they haven't been peer reviewed or accepted for publication or presentation anywhere at this point that we know of. It's sort of an unusual way to unveil important data, something at least I don't think we've seen before. But anyway DTM it seems like to us based on what we know to be sort of a simple trial and error programing of two low frequency programs, probably something in the area of 300 hertz and 50 Hertz after performing traditional paresthesia mapping in the OR. So far at least Medtronic hasn't disclosed the frequencies of the waveforms involved to their own customers, which we know at least some of those customers have found sort of puzzling I don't. The analogy we use internally I doubt most doctors would prescribe a pill with two active ingredients, they didn't understand and that sort of lack of transparency may seem equally inappropriate to some clinicians when delivering a dose of electric current. The pairing by the way of two frequencies is something that any Omnia user can program today if they want, though importantly Omnia also gives them the ability to do HF10 in a pairing platform as you know. As for the Medtronic data specifically which I think is your question, this was a fairly small cohort that hasn't been peer reviewed. They had a very high lost to follow-up in their 12 month data. I think it was like 15% or 16% but they actually excluded them in their reported responder rate. In the Senza trial, by comparison, we only lost one patient to follow-up at 12 months in a study that was double the size and we actually included that patient in our intent to treat analysis. And finally, we didn't have Nevro personnel programing patients in the control arm, unlike this study where unblinded employees program, both the control and the test arm. So, it's very different and it's been received I think in the market as being -- I look at it -- it is great to see competitors spending time and money bringing innovation and investment to the field. We kind of feel like if you're going to progress therapy, we're going to need to see product specifications and clinical data there, just a bit more transparent and objective than this. But eventually all of this will be up to the bodies of scientific and clinical leadership in our field to adjudicate. In the meantime, we're pretty confident that the quality of evidence that we brought to the therapy through the initial RCT as well as our ongoing initiatives like NSRBP and of course PDN that we've been talking about and that, those will continue to gain the greater support of decision makers going forward. But it's something we'll continue to keep an eye on for sure and we are glad, as I said that we have competitors that are bringing new things to the market to try to capture more of these untreated patients.
Danielle Antalffy: That's great. Can I just ask one quick follow-up and it's a clinical data in general in this market. When Nevro first presented their data and there is lots of excitement, but then it sounds like it's sort of inside of this voice and an industry that has been driven more feature and relationship driven and I'm wondering if you feel like now a few years down the road that the paradigm has shifted and the bar is higher for data and you're pointing out all of the issues with their, the difference is between the trial opening, does data matter more now in this industry as a continuing to matter more and more and more of the data that's come out.
Keith Grossman: That's a great question. I. So I think the answer is yes, without questions and I think Nevro coming into the market with original RCT that it really boldly had invested and made a big difference. And I think it's changed the tone and tenure of the market and the discussion around the importance of clinical data a lot since then. But I think it's kind of an ongoing process. I don't know how many datasets we publish represent every single year. It's a lot. And so we've added to this body of literature very considerably over the last three, four, five years, and I do think that as you want to grow this business through new kinds of patients, it's going to require the payers and in some cases entirely new sets of users and I'm thinking a PDN specifically are going to demand a level of clinical evidence to which they are accustomed. And so I think I will elevate the game for SCS generally speaking, if you want to grow the market by treating new categories of patients.
Danielle Antalffy: Thank you.
Keith Grossman: Thanks, Danielle.
Operator: Your next question comes from the line of Joanne Wuensch with Citi.
Joanne Wuensch: Good afternoon, it's been a long day, right. All right, two questions, the competitive landscape, you've been fairly active and taking market share, help me understand how much of this is sales force driven, product driven or what do you think is really going on in terms of just the general competitive landscape.
Keith Grossman: Yes, well, I'll take the covers way out and say it's 50-50 or maybe in an effort to look more like I'm putting a finer point on it, I should say 60:40 right. And I look, I really think it's both. I don't think I know how to break it out. Our sales team, our sales and commercial management group, our marketing group has been going through lots of changes over the last year and a half. I think they are doing a great job. They are, much more productive and effective, they're doing the right things, they're are focused on the right things, they're not focused on the wrong things, and we're just getting a ton more productivity and they're winning, which is terrific. So -- and we have more to do there. I think and putting a much finer edge on our commercial initiatives. But I'm really pleased with where they are and I think it has quite a lot to do with our relative performance to competitors over the last year or two, but I wouldn't underestimate the importance of Omnia. I think we said when we introduced this wasn't just a minor generational improvement just a smaller can with a new waveform. This was a significant strategic change of being able to say, look, we can bring to the market a unique product like HF10 for stimulating these patients and getting better workflow, completely better outcomes with better data to prove it but we can also do everything else and we can any patient that requires any kind of different treatment over time, we compare those therapies We can do them separately over time. That's a really meaningful change that is one year cycle kind of change that's a significant strategic product offering change for us and it's durable and I think it's meaningful, and so I think that has had also quite a lot to do with what's been going on. Sorry, I don't really know, kidding aside, I really don't really know how to wait to the difference between those two things. But -- but I think they've both made a difference. And I think they will both continue to make a difference.
Joanne Wuensch: That's helpful. I'm just from my second question, that whole discussion of CMS pre-authorization. I'm trying to understand whether or not the whole discussion at the beginning of this was a sort of so, by the way this is happening, but don't worry about it or how should we sort of gauge this. Thank you.
Keith Grossman: Well, I think the safest way to kind of tuck this in and think about it as part of the story is that usually proposed rules become final rules, everybody comments and rarely do they affect change from proposed to final, sometimes it does. I felt it was important for investors to understand two things, one that we looked at the utilization data as well that we've come to a very clear conclusion about what they were seeing and why they were seeing it and we've presented that back to them. And I think that the -- I think that we had a very engaged very curious and maybe even a little bit surprised audience when we did present that back to them. That doesn't mean that the final rule will be any different than the proposed rule that I think always the safest baseline assumption that we as an industry will have to deal with prior auth for this segment of patients, just like we do for almost all the other patients and we do it. Now, we do it we'll continue to do with this category. But I do think what is clear to us is that there is an educational, an initiative that needs to happen with not just CMS with payers and they need to understand what's beginning to happen to their patient mix. What they're really paying for and how often they are paying for the same therapy for the same patient when they need not to do that. So this was I think an eye-opener for us and for CMS and something that we'll be -- a message we'll be sending on a regular basis.
Joanne Wuensch: Thank you.
Operator: Your next question comes from the line of Kaila Krum with Truist Securities.
Kaila Krum: David Ross for Kaila. Thanks for taking my questions. But first one for me, if we assume that the fourth quarter typically is kind of stronger the strongest quarter given the dynamics around patient's giving their deductibles by the year end. How do you expect that factor play out this year given the impact to call it may have lapsed. Some of the patients reducing healthcare spend earlier in the year and thus not meeting their deductibles at the fourth quarter and then the second part of that question is, as you look into the first quarter next year. How do you think about patients who already heard any anecdotal evidence that we have thus far patients pulling forward procedures from the first quarter into the fourth quarter given that they may have some stability around returning to work and potentially trying to get an SCS procedure and out of that?
Keith Grossman: Yes, it's -- well, it's a sharp insight on the deductible. We are watching that, we actually think that is part of the normal Q4 seasonality and we don't think this is a normal Q4 by any stretch. So I do think that impact that we typically see in Q4 patients may be trying to rush through the door to therapy, to take advantage of a lower spent deductible is kind of attenuated this year. So I don't think -- I think we'll see some impact from that, but I think it will be reduced frankly. Whether or not payers or patients will try to pull procedures in with the assumption that they're going to be busy and back at work after the first of the year that I don't think we have any insight to. The logic makes sense to me, but I don't think we've seen evidence of it, I don't think we've tested that thesis with any of our patient research. Another area of speculation, we've heard is that doctors may press in Q4,to treat patients where there is optionality between Q4 and Q1.When they may try to push patients in Q4. Due to a perception of tax law changes from '20 to '21. Now, it may be that the election results this week may dull that impact if there was ever going to be one as well. So these are interesting theories and they're really hard to test improve until you until you until you watch them. I think that none of them would change the commentary that we've given you today about Q4, however.
Kaila Krum: Okay, that's helpful. And then I just a little bit more on PDN, I appreciate the commentary you provided so far on that, you mentioned, the press release, the company is in early discussions with the FDA around submission strategy there. I guess, has there been any things surprising to you and those initial conversations and can you provide any insights around the payer strategy or the market development progress that you've made so far ahead of the commercial launch. And then the second part of that, have you seen any increase and maybe off label use or physician interest so far indication. Just following the three month debut last year. Thanks.
Roderick MacLeod: Okay, there's a few buried in there. So conversation to CMS, I think there's nothing, I would reveal that I haven't I think both the conversations we had with both FDA and any conversations we've had with CMS, which have been, by the way CMS so far really not a lot has happened yet with CMS. Most of our conversations have been with FDA. Those have gone very well. Keep in mind FDA saw not only a submission strategy that we want to pursue with the data that would support it and we are not obligated to make a commitment in a pre-submission process, they're merely giving feedback. But with that feedback we concluded that submitting primarily leaning on the six month data not entirely but primarily in the Q4 timeframe was the right thing to do and. And so we views that as a good thing. In terms of CMS and payers there just hasn't been a lot of contract on this point yet. We have been doing some research with private payers, we have been, engaging the response from medical officers within different types of private payers, we have some really interesting data there, it's been actually very encouraging, but that data is, as you saw on the three month data that data is pretty compelling and that trial was very well designed, so we kind of expected a good response and we've gotten a good response. But I think, a really full push with private payers will come once we have a little bit further data published, a six month data published presented and we have an FDA approval. We will have a planned and orchestrated initiative to launch with payers that will, it will go out very quickly. Finally on off label, No, we really haven't seen a lot of off-label. I mean this is not, we can go out and promote PDN to remember what is a new group of referring doctors who don't necessarily aware of SCS at all much less as a treatment for some of their patients. So, I wouldn't expect kind of off-label there likely has been some but it probably would be a one-sie, two-sie kind of thing where patients are maybe coded as being on label, and they would just would never show up to us. So that would be, that would be between the doctor and the patient and the payor. So, I would say off label from a visible standpoint has had very little impact so far.
Operator: Our final question comes from the line of Margaret Kaczor with William Blair.
Margaret Kaczor: Thanks for taking my question and going at the end. A couple of things for me; number one, you guys tend talk about Omnia relatively bullish. I know everyone is so focused on PDN and this new TAM opportunities but maybe talk to us a little bit about why so much confidence that not only can it be and has been a driver this year, but this is a driver for next year, is it simply reach, is it continued evolution of the technology, you'll kind of launch new waveform on top of what you got any details.
Keith Grossman: Margaret, I just want to -- I wouldn't kind of feel this way. So I just want to make sure I really understand the question, you're wondering why the impact of Omnia would exceed a normal new product lifecycle in its impact, why it would help us in 2021 and beyond. Is that right.
Margaret Kaczor: Yes. I mean, it will be the second year of the launch. Right. So why wouldn't be as impactful in the second year of launch it has in the first other than the pandemic.
Keith Grossman: Well, two reasons. One is, this is a little bit of a lost year. So a lot of, product launches, I think we're kind of in suspended animation this year didn't get the full impact. I think that's true not only in our sector, but in others or even companies who pulled our delayed new product launches that I'm aware of that, we'll launch them after the fact. But, so I think we get, you get a little bit of a time out in the game for new product launches. In the case of Omnia I spoke to this a little bit earlier in the call, so I won't go into quite as much detail but I don't think Omnia is really a typical new product lifecycle kind of thing. You know, when you introduce a product that says you can uniquely and solely offer the most effective stimulation therapy for these patients in the industry and now you can offer what everybody else can do in the industry on a standalone basis or on a paired basis that's not typically is something that you can erode over the course of what might be considered a normal lifecycle. That is kind of a permanent and durable capability that can't be replicated without high frequency. So does that mean it's an effective product, and we never have to develop another new product for the next two, three, four, five years; of course not. But I do expect the durability of impact from a product platform change like that to be far more meaningful and durable, then it's just a typical life cycle add-on or capability change in the product. I hope that makes sense.
Margaret Kaczor: Yes. And part of the question is that just more of an education effort on year end because you're not able to reach some of these clinicians and would that then be new accounts maybe you guys aren't a part of, we're trying to go deeper within account.
Keith Grossman: Yes. And then -- and that's the part that get we've got kind of delayed this year. So certainly our existing doctors understood Omnia immediately, they have the ability to choose to use Omnia as their primary product in their patients were going to treat anyway with a Nevro of product that conversion has happened pretty widely, but the ability to really get to those doctors who might be using a competitive product to treat other different kinds of patients and really talk to them about using Omnia or even more so to get to completely competitive accounts that's been harder to do I think during COVID for lots of reasons. So, I expect that gets a little bit easier as our sales force and our doctors and our patients ramp up to full speed over the coming months and quarters.
Margaret Kaczor: Okay, great. Thanks a lot, guys.
Operator: I would now like to turn the conference back to Mr. Grossman for any additional or closing remarks.
Keith Grossman: Okay, thanks everybody. And I'm aware of the fact that we stranded a question or two but we are at the mark here, and -- but I appreciate everybody's time and interest in what we're doing. It certainly has been an interesting time. And if you have more questions, please reach out, and we'll look forward to talking to you next quarter.
Operator: Thank you for participating in today's conference call. You may now disconnect your lines at this time.